Executives: Henry H. Gerkens - Chairman of the Board, Chief Executive Officer, President, Member of Strategic Planning Committee, Member of Safety & Risk Committee, Chief Executive Officer of Landstar System Holdings Inc, President of Landstar System Holdings Inc and Director of Landstar System Holdings Inc
Operator: Good afternoon, and welcome to Landstar System Inc.'s Fourth Mid-quarter 2011 Conference Call. [Operator Instructions] Today's call is being recorded. [Operator Instructions] Joining us today from Landstar is Henry Gerkens, Chairman, President and CEO. Now I would like to turn the call over to Mr. Henry Gerkens. Sir, you may begin.
Henry H. Gerkens: Thanks, Terry, and good afternoon, and welcome to the Landstar 2011 Fourth Quarter Mid-quarter Update Conference Call, the last earnings conference call of 2011. As a reminder, let me review how our mid-quarter update call works. There is no question-and-answer period during this call. The purpose of the call is to provide a very brief update on how management sees the current quarter shaping up as it relates to business levels and earnings projections. The call will last only a couple of minutes. Before we start, let me read the following statement. The following is a Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. Statements made during this conference call that are not based on historical facts are forward-looking statements. During this conference call, I may make certain statements containing forward-looking statements, such as statements which relate to Landstar's business objectives, plans, strategies and expectations. Such statements are by nature subject to uncertainties and risks including, but not limited to, the operational, financial and legal risks detailed in Landstar's Form 10-K for the 2010 fiscal year described in the section Risk Factors and other SEC filings from time to time. These risks and uncertainties could cause actual results or events to differ materially from historical results or those anticipated. Investors should not place undue reliance on such forward-looking statements, and Landstar undertakes no obligation to publicly update or revise any forward-looking statements. During our 2011 third quarter earnings conference call, I stated that load volume increased in the first several weeks of the 2011 fiscal fourth quarter, over the same period in the 2010 -- in 2010 had been similar to the 9% load volume increase that occurred in the 2011 fiscal month of September over the prior year September. I am pleased to report that this trend has continued throughout the first 10 weeks of the 2011 fiscal fourth quarter over that same period of the 2010 fourth quarter. Additionally, pricing, measured in terms of revenue per load, remains relatively strong. During the third quarter earnings conference call, I also stated that I expected earnings per diluted share to be in a range of $0.62 to $0.67 per share. Assuming current operating trends continue for the balance of the 2011 fiscal fourth quarter, an estimated $0.02 per diluted share anticipated favorable benefit from a lower effective income tax rate, and that all other things remain equal, I would now estimate earnings per diluted share for the 2011 fiscal fourth quarter to be in a range of $0.64 to $0.69 per diluted share. We close out 2011 with much confidence and look forward to 2012 with great optimism. I believe we have created a platform for continued future growth in 2012. I want to wish everyone a happy and safe holiday season, and I look forward to talking to everyone again in our 2012 year end earnings conference call, for 2011, that is. Have a good day, bye.
Operator: Thank you for joining the conference call today. Have a good afternoon. Please disconnect your lines at this time.